Soren Skou: Good morning, everybody, and thank you all for listening in on our earnings call for the second quarter of 2021. My name is Soren Skou. I’m the CEO of A.P. Møller - Mærsk, and I’m joined today with – by our CFO, Patrick Jany; and Vincent Clerc, CEO of Ocean and Logistics. Now let me start by saying that, as you all know, this quarter has been significantly impacted by exceptional market conditions, both through very strong demand from a low Q2 2020, but also with multiple instances of bottlenecks and congestion and disruption. And all of that has, of course, impacted our global network and made it very difficult for us to serve our customers at the level we aim to. While these changes have been many, and we have had severe impacts on our customers, we have consistently prioritized our strategic long-term partnership customers to partially insulate them from much of the impact of these challenges. As a result, and despite the difficult trading environment, our customer satisfaction scores have improved marginally every quarter since first quarter of 2020 across the whole book of business, and it has increased quite nicely with our top 200 customers, which we read as a sign that customers do appreciate the efforts we put into place to support them despite the circumstances. And it also proves that the value proposition of integrated and end-to-end solutions is truly there. We want to highlight that in – one of the highlights of this quarter is that our customers are signing up for more long-term partnership contracts and that they are buying more logistics products and solutions from us, which we see as yet another proof point of our strategy rather than we have the right strategy. Now briefly to the results. In the second quarter, we delivered another record results, the 12th quarter in a row with year-on-year earnings progress. We have updated our guidance for 2021 to an EBITDA of $18 billion to $19.5 billion. And this means that we are also implying that the 13th quarter and the 14th quarter is around the corner. This will mark 3.5 years of constant progress for A.P. Møller - Mærsk. Let me say a few words about Ocean. While we have extraordinarily strong market conditions right now, we have delivered progress over the last three years. Since 2019, through a period of low trade growth due to trade tensions between U.S. and China through a period of rapidly increasing fuel costs as we switch to low-sulfur fuel and through a pandemic, which saw volumes fall off a cliff last year. Historically, all such events would have had a negative and, in the case of the pandemic last year, a catastrophic impact on our earnings. However, we still delivered earnings progress. And I see this as very strong evidence that we are building a more profitable and higher quality Ocean business. The consolidation, the alliances, the digitization, the cost focus we have had, the disciplined approach to CapEx, and probably most importantly, the development of unique products such as Mærsk Spot and the focus on longer-term contracts and end-to-end solutions means that we have a much stronger, more differentiated and less commoditized business that is less impacted by basic supply and demand. I know that many of you listening today now worry about the order book in 2023, as you worried about slow trade growth in IMO 2020 and the pandemic last year. For us, the learning from the last 18 months in Ocean is that what matters is that we serve our customers by deploying the capacity we need to meet the demand, not how many containerships exist in the world. Instead of lowering prices to fill up empty capacity, we are adjusting capacity to meet demand, creating a much more stable environment for both long- and short-term business. In the first three quarters last year, we delivered earnings progress despite seeing volumes drop in the second quarter as much as 15% by doing exactly that, and we will continue to do so. The current historically high freight rates are caused by the fact that there is unmet demand. There’s simply not enough capacity to lift all the band right now. While the current earnings will come down at some point as we are able to deploy more capacity to meet currently unmet customer demand, we believe very much that we will have a much healthier business with a strong portfolio of long-term contracts when it happens. Now turning to logistics. We have built a growth engine in logistics, and I’m particularly proud of that we deliver 38% revenue growth in logistics this quarter, almost all of it organic. And at the same time, we improved the EBIT margins to a very healthy 7% on par with or better than many in the sector. This is based, all of it, on being driven by customer wins, not really market growth. As we said in the Capital Markets Day in May, growth is, in particular, being driven by our large Ocean customers, providing strong proof points for the global integrated strategy. Our Ocean customers are happy to buy logistics products from us. With strong organic growth in logistics, our yearly run rate is now at $8.8 billion in terms of revenue. And with the two acquisitions that we announced today, we will soon have a $10 billion logistics business. You can expect us to continue to add acquisitions to grow further in logistics as well, and you can expect us to continue to target organic growth by more than 10% per year. In terminals, we are pleased with the performance in our ports business. APMT is back, growing revenue of 34% in the second quarter, doubling operating earnings and closing in on our 9% return on invested capital target. All the hard work that has gone into delivering synergies with Ocean and into efficiency and cost improvement over the last four years is now paying off as the volumes have come back. We made a net profit of $3.7 billion in the second quarter and $6.5 billion in the first half, driven by very strong revenue growth across our businesses. With the strong earnings came a very strong free cash flow of $3.2 billion, driven by the significant increase in cash flow from operations and continued low CapEx. We now expect to deliver more than $11.5 billion of free cash flow this year, which is more than 20% of our market cap. The strong cash flow means that we can continue to invest in the business in the needed CapEx and in acquisitions as well as we can continue to distribute cash to our shareholders through dividends and share buybacks. Now turning to Slide 5. Back in May at the Capital Markets Day, we introduced new midterm targets and commitments for 2021 to 2025 to track the strategic progress and the transformation of the company, and we will follow up on these commitments every quarter going forward. For the second quarter, we delivered return on invested capital of almost 24%, significantly above both our annual minimum target of 7.2% and the average return on invested capital target of above 12% from 2021 to 2025. A key driver of creating a more stable Ocean business comes from product diversification and digitalization leading to less commoditized – to a less commoditized customer offering. Mærsk Spot is one of the key elements in our digital progress that we track on a quarterly basis. And this quarter, we’ve seen the volume share of our total short-term volumes being 35%, almost unchanged compared to the first quarter, which is due to the constrained capacity situation and our focus on servicing long-term contracted volumes. In logistics, the strong strategic progress continued with an organic growth of 36% in the second quarter and 33% in the first half year. And at the same time, profitability with an EBIT margin close to 6% over the last 12 months and 7.1% in Q2 continued to improve. Measuring commercial synergies between Ocean and Logistics, we measure the revenue growth from our top 200 Ocean customers, and it increased by 66% to 1.8 billion in the first six months of 2021, accounting for 58% of the organic revenue growth in logistics in Q2, confirming to us that the commercial synergies are very real, and we can leverage our strong relationship with our Ocean customers to grow in logistics. Finally, this morning, we have announced two acquisitions within the e-commerce space of logistics, and they will enable us to further expand the end-to-end service offering to our customers and give more growth. And in order to give more insight and details on this, I will hand over the word to Vincent Clerc.
Vincent Clerc: Thank you, Soren. Before I dive into the overall strategic rationale for expanding our capabilities within e-commerce, I’d like to take one step back and start with what we communicated at the Capital Markets Day in May around our M&A strategy and the road map that we have for Logistics & Services. Our framework for M&A still remains based on acquisitions that can expand our capabilities, facilitate the type of acquisitions and not around building scale. It means the acquisitions continue to be based on verified need in our customer portfolio, which have a clear and validated opportunity to integrate in the service offering that we already have and can support our end-to-end solution, thus delivering scalable capabilities and expanding our prioritized geographical footprints. Over time, as we expand our capabilities, we can leverage these to progressively increase the scale and create synergies. Evaluating today’s announcements for the acquisitions of Visible Supply Chain Management and B2C Europe, both of these companies fit very strongly this M&A framework. If we then, on the next slide, turn to the more strategic parts of the presentation. Why is e-commerce and the two acquisitions so important and critical capabilities to accelerate the growth of our end-to-end offering? Firstly, we see that customers are moving their supply chains towards an omnichannel model, adding e-commerce to physical stores, which has led to the strong emergence and need for business-to-consumer supply chain solutions. The transition to omnichannel is not only about warehousing, distribution and last mile. It has significant upstream implications as well, impacting sourcing decisions, size of purchase order, mode of transport and delivery needs. Being able to cater for this impact across the full supply chain is a big opportunity and a good illustration of why e-commerce is so important in our end-to-end offering as well as why we are well positioned to lift the challenge and help our customers through the transition. This has been further accelerated on the back of the COVID-19 pandemic with growing customer needs within the business to consumer sector. Mærsk, through the acquisitions, will develop its offering both in e-commerce fulfillment and e-delivery capabilities within the segment fulfilled by Mærsk. We will be able to support our customers through this transition comprehensively. The two acquisitions of Visible Supply Chain Management and B2C Europe will contribute with an annual revenue of close to $700 million and a post IFRS 16 EBITDA of $75 million per year based on 2021 estimates and before synergies. We estimate the cumulative synergies by 2023 to around $40 million, and those will keep growing over the years to come. The total enterprise value on a debt-free basis are at $928 million post-IFRS 16, corresponding to an EV over EBITDA of 12.4 based on 2021 and before synergies and integration costs. On Slide 8, we have shortly summarized the background of Visible Supply Chain Management, a company that was founded in 1992 and has 20 years of experience in fulfillment services to its customers and today is an industry leader in parcel shipping in the U.S. and an authorized reseller of the United States Postal Service. At present, the company enables more than 200 million packages per year through its proprietary tech solutions and has a network capacity to cover 95% of the U.S. direct-to-consumer market within 48 hours. The acquisition will contribute further to our digital transformation by leveraging technical e-commerce logistics excellence to support Mærsk customers to take control of their growing e-commerce momentum. Based on 2021 forecast, the revenue is estimated to around $550 million with a post IFRS EBITDA of around $65 million corresponding to an EBITDA margin of 11.8%. Enterprise value of $838 million post-IFRS 16 correspond to an EV over EBITDA multiple of 13 based on 2021 forecast before synergies. The transaction was closed on the 2nd of August. Turning to the acquisition of B2C Europe, which brings strong e-commerce capabilities to Mærsk in Europe was established 20 years ago and the key activity being the management cross-border last-mile parcel deliveries. The company offers labeling services, pickup, sorting parcels, line haul and injection into the last mile delivery network for – with – sorry, into the last mile delivery network of 100-plus carriers across Europe and serve customers across Europe from the U.S. and from China. At present, the company enables more than 40 million parcels a year through five sorting hubs. Based on 2021 forecast, the revenue is estimated to around $140 million and a post-IFRS 16 EBITDA around $8 million, corresponding to an EBITDA margin of 5.7%. Enterprise value of $90 million post-IFRS 16 corresponding to an EV over EBITDA multiple of 11 based on 2021 forecasts before synergies. The transaction is subject to regulatory approval and is expected to close during Q4 2021. This transition of the traditional supply chain to omnichannel is top of mind for virtually all of our customers, and its importance will only increase in the coming years. As such, being able to play a key role in that transition and offering the possibility to adjust and integrate the consequences of it across the whole supply chain was always very high on our priority list when considering capabilities to acquire. Today, with the acquisition of two exciting companies, we take decisive steps that will provide us with a new growth platform and exciting prospects. And with that, I hand it back to Patrick.
Patrick Jany: Thank you, Vincent, and good morning to all from my side as well. Turning to the financial highlights of the quarter, starting with Slide 11. We, as usual, have illustrated the development in the net result. And as you can see, profitability in Q2 significantly improved as net result reached a new record level. The improvement came mainly from Ocean with EBITDA more than tripling but also with positive contributions from Logistics & Services and Terminals & Towage. Overall, our EBITDA increased by $3.4 billion reaching $5.1 billion, and the EBITDA margin reached 35.6% compared to 18.9% last year. Consequently, EBIT increased more than 5 times to $4.1 billion compared to $721 million in Q2 2020, leading to an EBIT margin of 28.7% compared to 8.3% last year. The other positions had a fairly small impact on profitability. The lower depreciation, amortization and impairments was mainly driven by lower depreciations as a result of reassessing the useful lifetime of container assets from 15 – from 12 to 15 years that we introduced in Q1 2021, which is an effect of around $100 million in a quarter. And we only had limited gains from sale of noncurrent assets, and tax increased to $152 million compared to $76 million last year, primarily due to improved earnings. As a consequence of the increase in operational profitability, the net result in the quarter reached $3.7 billion, thereby exceeding the net result for the whole year 2020 in a single quarter, clearly a reflection of the current exceptional circumstances. Now turning to Slide 12. Our cash flow from operating activities remained strong and more than doubled from a low basis of last year to $4.1 billion on the back of an increase in EBITDA and despite of a deceleration in net working capital of $886 million related both to higher receivables due to the increase in revenue and to higher inventories due to increased bunker prices. Cash conversion was still high at 82%, but lower than last year at 110%. Free cash flow in the quarter was $3.2 billion after considering capitalized lease installments, gross CapEx, net financial expenses and received dividends. The capitalized lease installments and CapEx was still relatively lower this quarter and will increase in the coming quarters as more investments are realized. For leases, this is already partially reflected in the $1 billion increase in capital leases in the balance sheet. And for CapEx, the spend will increase in the second half as investments ramp up in line with our existing guidance. From the free cash flow, we bought back shares and repaid debt. Our net interest-bearing debt is now only $6.2 billion compared to $7.7 billion at the end of Q1. Excluding these liabilities, which amount to $9.5 billion, we actually have a net cash position of $3.2 billion. Let us now turn to the business development, starting with the Ocean on Slide 13. This quarter, the performance in Ocean was still impacted by the continuation in the exceptional market conditions, which had a significant operational impact. On the one hand, the ongoing congestions triggered by a succession of bottlenecks drove up, in particular, the short-term rates, but also caused significantly high operating costs and low reliability despite higher capacities and equipment, as already mentioned by Soren earlier. Revenue in Ocean grew 69% on the back of strong freight revenues with volumes increasing 15% as demand increased in all regions and was particularly strong out of Asia and freight rates increased by 59%. This led to more than a tripling on EBITDA from $1.4 billion to $4.4 billion, and an EBITDA margin of 39.7%, more than offsetting a 28% cost increase driven by higher handling and networking costs and increase in bunker fuel prices. EBIT increased by $3 billion to $3.6 billion, reflecting an EBIT margin of 32.3%. On Slide 14, we can see that the EBITDA increased in Q2 and was like in the previous quarter, mainly driven by the extraordinary environment of capacity constraints and bottlenecks in equipment, which impacted rates significantly and contributed to a US$3.7 billion increase in EBITDA alone. The rebound in volumes had also a positive contribution of $532 million. The increase in bunker prices had a negative impact of $405 million as average bunker price per tonne increased by 45% from $328 to $475. Container handling costs and network costs, including an increase in bunker consumption of 17%, driven by higher deployed capacity and increased average speed in total went up by $619 million in Q2 due to the higher volumes and disruptions in the supply chain. SG&A net FX and others increased by $220 million, mainly impacted by revenue recognition. Driven by the increase in rates during the quarter, the recognized freight rate was about $200 million lower than the loaded freight rates, which means that we will have a positive spillover into Q3. This quarter, the effect of non-cash unrealized losses on hedges were actually very small, but compared to a loss in Q2 last year, the impact is actually positive by $107 million. Turning to Slide 15. Our average freight rates increased by 59% in the quarter, driven by demand surges across all regions and by a combination of higher long- and short-term freight rates. On East-West, the average freight rate increased by 67.5%, driven by the bottlenecks seen across the supply chains on both China, U.S. and China, Europe. As you can see from the table, also the North-South trades have contributed positively to the performance with a strong rebound in volume growth and a 54% increase in freight rates. Total volumes for the quarter increased by 15%, driven by head haul increasing 20.5% as demand was strong, mainly out of Asia, while backhaul volumes increased by 4.8%. It’s important to highlight that comparing to Q2 2019, the loaded volumes were down 3.1%, and at the same time, our capacity is up by 1.8%, confirming the impact on loaded volumes from the congestions and bottlenecks. Unit costs increased by 0.9% on a fixed bunker despite the higher volumes and positive impact on EBIT from the changes to the depreciations related to the lifetime of the containers because of higher handling and network costs. We are quite satisfied that we managed to keep costs under control despite of the supply chain challenge we are facing and the fact that we have been able to run the network with a utilization of 96%, which reflects the ongoing effort to improve the service to our customers. That effort is shown in particular on Page 16. During the quarter, we continued to focus on supporting our long-term customer supply chains to meet their requirements under very difficult market conditions. We have invested in additional equipment and increased the capacity for long-term contracted volumes, expecting that 60% of the total volumes on the long-haul trade will be long term in 2021. By end of Q2 2021, we have increased the long-term contract volumes by 30% to an expected 6.3 million FFEs for 2021. And by now, we have negotiated almost all our long-term contracts for the year. The additional effect on our financials for the full year 2021 is around $800 per FFE on our contracted volumes as we have seen further increases in rates since the end of Q1, combined with more upselling and a change in trade mix, where we have seen a larger part of the contract volumes being booked on the East-West rates. On top of the higher contracted volumes, we also have signed up more than 1 million FFEs at multiyear contracts, ensuring predictability and the stability of our earnings and the service to our customers. On Slide 17, we turn our attention to our Logistics & Services business, which again in Q2, has performed strongly with a positive momentum in revenue up 38% to $2.2 billion. The growth was again mainly driven by organic growth, and all three segments contributed positively. Gross profits increased 56% and EBITDA more than doubled to $216 million, reflecting a margin of 10%. The increase in profitability was led by a combination of revenue growth and higher margins in all segments. The high organic growth rates once again validate our strategy of growing with our Ocean customers and building up capabilities to cover more of our customers’ logistics needs and increase the wallet with our Ocean customers. In fact, 58% of the growth in Q2 came from our top 200 customers in line with our strategic objectives. Adding e-commerce capabilities with the acquisitions we announced today will undoubtedly further contribute to future growth. As we know, starting with Q1, we introduced a new reporting structure in Logistics & Services, where we have split products and services into managed by Mærsk, fulfilled by Mærsk and transported by Mærsk to reflect our progress on the integrated strategy. Overall EBITA increased more than 3 times to $164 million with a margin of 7.6%, up from 3.1% last year in Q2, driven by increases in EBITA margins in all three product categories. In managed by Mærsk, which includes integrated management solutions, revenues reported a growth of 58% to $317 million, driven by an increase in volumes in lead logistics of 31% and a significant increase in the number of declarations in custom services, including KGH. EBITA margin improved significantly to 13.9%, up from 6.1% last year. In fulfilled by Mærsk, which includes integrated fulfillment solutions, we grew revenue by 51% to $480 million, driven by wins in contract logistics and the turnaround of the existing facilities in North America, based on the growing footprint from the integration of performance team. The positive integration was also reflected in the EBITA that improved from minus 0.3% to 6.1%. Finally, revenue in transported by Mærsk, our integrated transportation solutions, was up 30% to $1.4 billion, driven by an increase in landside transportation intermodal volumes of 41% from higher penetration ratio into our existing Ocean customers. The airfreight forwarding volumes increased by 4.3%. However, lower rates led to a 7.8% decrease in revenue to $297 million. Slide 19 shows the continued progress in terms of growth and earnings quality of the Logistics business. In Q2, the organic revenue growth increased by 36%, including the effect of performance team as this business is now consolidated in Q2 from last year, while the inorganic growth of 2% relates to KGH Customs Services. The gross profit margin increased by 3% to 26% with a positive contribution across all segments, and our EBIT conversion improved in the quarter to 27.2%, continuing the nice constant progression we have seen since the end of 2019, where the conversion ratio was only 7.5% last 12 months basis. On Page 20, we turn to Terminals & Towage, where EBITDA increased by 78%, driven by volume growth and storage income in gateway terminals. EBITDA in gateway terminals increased to $370 million, and the EBITDA margin increased by 12.4 % to 38.1% as a result of higher volumes and higher storage income related to the congestion situation. Revenue in Switzerland was positively impacted by a harbor towage activity primarily driven by the increase in LNG activities in Europe, strong grain export in Australia and ramp-up activities in Morocco, partly offset by lower activity in the Americas, especially Brazil. Revenue increased by $24 million to $184 million, and EBITDA increased slightly from $51 million to $53 million in the quarter. Turning to the next slide. We have visualized the effects from volumes, revenue and costs on the EBITDA of gateway terminals, bridging the increase in EBITDA from $186 million to $370 million in Q2. Volume increased like-for-like by 22%, mainly driven by strong volume growth in North America and Asia. While comparing to Q2 2019, the like-for-like volume growth was 6.8%. Revenue per move increased 8.3% to $301, mainly driven by congestional linked revenue in North America and higher storage income in Latin America, while cost per move decreased by 6.8% to $234 as a result of higher utilization and lower net provisions. The improved margins have led to our gateway terminals achieving now a ROIC of 8.7% on a 12-month basis, closing in on our target of a ROIC above 9%. Terminals was in Q2 awarded as well a 50-year concession to build, maintain and operate a container terminal in Rijeka, Croatia in a 51-49 partnership with ENNA Logic. This terminal will open a new access to Central Europe and will, as part of the strategy, contribute to synergies with Ocean and Logistics & Services. Turning to Manufacturing & Others. We reported a decrease in EBITDA of $8 million to $41 million due to Mærsk Container Industry negatively – being negatively impacted by an increase in direct material costs despite revenue growing from $154 million to $179 million. As communicated in the Capital Markets Day in May, a strategic review of Mærsk Container Industry has been initiated. Mærsk Supply Service reported development in the revenue of $18 million to reach $75 million driven by higher activity and higher rates, leading to a positive EBITDA of $9 million up from a negative EBITDA of minus $4 million in Q2 2021. With that, I will pass the word to Soren for the full year guidance.
Soren Skou: Yes. Thank you, Patrick. And this is not really news by now, but we have given the Q2 – strong result in Q2 and the expectations that the market – the strong market will now continue at least until the end of the year. We revised our full year guidance for 2021 on the 2nd of August to now be underlying EBITDA in the range of $18 billion to $19.5 billion, underlying EBIT in the range of $14 billion to $14.5 billion and a free cash flow of minimum $11.5 billion. Ocean is expected to grow in line with global container demand, which we now expect to be 6% to 8% in 2021, driven by export volumes out of China to the U.S. And for the years 2021 and 2022, we still expect a cumulative CapEx to be around $7 billion. Earnings in the third quarter are expected to exceed the level for Q2, but we also still see trading conditions for the quarters ahead, still subject to higher-than-normal volatility due to temporary demand panels disruptions in the supply chain and equipment shortage. And with that, we are happy to take questions. Thank you.
Operator: Thank you. [Operator Instructions] And our first question comes from Casper Blom from ABG. Please go ahead. Your line is now open.
Casper Blom: Thank you very much. And first of all, congrats with this amazing set of results. Two questions from my side, please. First one, regarding your acquisitions and especially the larger one, the Visible Supply Chain Management. Can you explain a little bit the structure of the company? Do they own trucks themselves being asset heavy? Or is it something that you rent from outside? And also to what degree do these guys already service the customers that you have today? That’s my first question. And then secondly, just on the 2021, 2022 CapEx guidance of the $7 billion. I think you are around $800 million so far here in the first half of 2021, so we need quite an acceleration to get to the $7 billion. What is it that is to drive that up over the next 18 months? Thank you.
Soren Skou: Yes. Thanks, Casper, for your questions. So starting maybe with the second one first on the CapEx. Indeed, we are – we have had a slow start and we maintain a strong discipline in our CapEx, as you can see. So we are below $800 million for the first half. However, as we just alluded to, we maintain our guidance of $7 billion for the years 2021 and 2022, because we actually expect as well during 2021, the second half to be much higher than the first half as we have – as we already guided for container coming in. We’ll also be looking at replacing some part of the fleet soon. As you know, we are now looking at dual fuel for any new vessels we order. So there will be investments coming in all across the board as we have guided for Capital Markets Day. So we absolutely maintain our guidance with 2021 being fairly biased for the second half of the year.
Vincent Clerc: Thanks. And for the first one, on Visible, basically, they operate fulfillment centers that are leased. And that is one big part of what we’re buying. What we’re buying, of course, also is the technology platform that they have to do that and orchestrate the delivery. The final mile delivery and so on is not based on a fleet of assets that is theirs. They actually use the U.S. postal service to be – they are a reseller of the U.S. postal service and they basically – that’s what they sell for that. So it’s a fairly asset-light company that we have bought there.
Casper Blom: Okay. Would you consider sort of becoming more asset heavy in last mile?
Vincent Clerc: No, that is actually an area where that is fairly crowded already with very high barriers to entry. So I think what we have seen in both cases here with B2C and Visible are companies that have managed to create an offering at scale that is competitive across both all of Europe and also all of North America through using basically either one preferred provider as the U.S. postal or in the case of Europe, 100 different carriers locally. And that’s probably the best way for us that we see going forward to serve customers.
Casper Blom: Okay. And then just the second part, what degree does Visible Supply Chain Management already deal with your customers? Or is it something you need to bring on board now?
Vincent Clerc: Yes. So a lot of the synergy case is about us bringing on board a lot of the customers that we have on Ocean with whom we have some discussions around e-commerce and where we didn’t have the capabilities before these two acquisitions. So there is a limited overlap between their current book of business and our book of business, and that’s what we’re going to solve for in the coming years.
Soren Skou: If I could just very briefly add to that, Casper. I think the acquisitions, we have done now four of them, they’re all based on basically taking a portfolio of products that these companies have and then supercharge the growth by selling it to our Ocean clients. And we have done that very successful last year with KGH and Performance Team, and we are actually quite convinced we can do the same here.
Casper Blom: So it’s to take the PUMA example from the CMD, it’s to – when the container full of sneakers arrive at Newark, then you also sort of take the last step in getting it to the consumer now?
Soren Skou: Yes.
Casper Blom: Perfect. Very understandable. Thanks a lot.
Operator: Thank you. The next question comes from Sam Bland from JPMorgan. Please go ahead. Your line is now open.
Sam Bland: Hi, good morning. I have two questions, please. The first one is, I guess, you’re partnering with sort of longer-term partnership type customers now, and that’s kind of at the expense maybe of short-run profitability. How confident are you that those type of – partnership type customers will effectively repay the favor maybe in a different market environment in two or three years’ time? And the second question is, am I right in thinking that it’s difficult to extend the buyback beyond what you’ve already announced? And if that’s the case, would you rather run with maybe net cash for a while until further acquisitions become available or maybe pay the cash out with a higher dividend? Thank you.
Soren Skou: Yes. So Sam, let’s just start on the long-term customers. I mean, we are clearly in a situation where our customers are looking for more resilience in their supply chains. I think everybody have learned that in the pandemic that we need to have more resilient supply chain, multiple vendors and more inventory. We also have plenty of proof point with our customers that integrated solutions, end-to-end products and if you will, one throat to choke is a very favorable value proposition. We already, in the past have had a relatively high contract portfolio ratio of – compared to the rest of the industry, and we have been building on that. And then I’ll just turn it over to Vincent to add maybe a little more color.
Vincent Clerc: Yes. I think all the customers with whom we have engaged in both increased share of wallets and long-term contracts are customers where we have confidence that this is done with the right intent and not with the gaming intent. We have had actually quite a few instances where we have decided not to proceed with longer-term contracts if we did not feel that the base or the strategic rationale behind it was the right one. So we’re really looking for some type of congruence on the strategy and the vision of where we want to go on the supply chain, as Soren is mentioning, and that’s really who we are going with. So we have a really high confidence level that these contracts will be respected, that the intent behind it is healthy and that this is only the beginning of longer-term partnerships with these customers.
Patrick Jany: And going back, Sam, to your question on potential return to shareholders. I would say the size and the speed of the announced share buyback of the $5 billion for 2022 and 2023 is pretty much what we can do in terms of share buyback given the limitation on daily volumes that we have. So really, I would like just to refer then to the priority of capital structure that we mentioned as well in the Capital Markets Day. I think the priority here for the cash is, first of all, to continue generating cash for sure. And then to – that allows us to actually invest in growth. We have just talked about that. Obviously, the CapEx guidance is maintained, so CapEx are coming in. We’re also investing in terms of inorganic growth, which just announced two acquisitions today. And it’s – and we also guided that there is more to come. I mean, clearly, we want to continue in that string of value-adding acquisitions. And then I would just highlight that you have – also should not elect the normal dividend, right? We have a dividend policy between 30% and 50%, which whatever the net result figure you have extrapolated for the full year will be quite significant in terms of return to shareholder in terms of yearly return as well. And therefore, the last element is then really just returning extraordinary cash to shareholders through share buybacks or the dividend. So it’s really to be seen as the last element of the chain. And I think the first three elements still offer quite a lot of investment and returns as we see it today.
Sam Bland: Okay. Thank you very much.
Operator: Thank you. Our next question comes from Dan Togo from Carnegie. Please go ahead. Your line is now open.
Dan Togo: Yes, thank you. Maybe a bit more on the top 200 focus client you have here, because, yes, you grow compared to last year. But when I compare to Q1, you actually see a small decline. Just to understand the lumpiness here, is there any seasonality we should be aware of? And then how should we think about this number going forward? I understand you, of course, wanted to increase, but I also expected it to be lumpy. So what decides, so to say, how it will progress? And how does the – was it US854, US857 million you have in revenue on top 200? And how does that split into managed, fulfilled and transported by Mærsk. So that was the first one. The second one, could you maybe elaborate a bit on how you see the market now here, because you also lift how many – or your expectations to how many volumes are feeding through the system here in 2021. So looking into 2022, I mean things are getting more and more tight. So for how long can we expect this to go on? Is it fair to assume that at least first half of 2022 will also be impacted by this very tight and constrained market, i.e., also, to some extent, elevated rates? Some thoughts around that would be much appreciated. Thanks.
Soren Skou: Yes. Thanks, Dan. I’ll start with the 2022 question, and then Vincent will cover the top 200 question. We’re going to be asked many different ways today about 2022, but we are not going to be drawn on that. We have visibility to the next – good visibility to the next three, four months, and that’s what we are comfortable guiding around. Our customers, as we’ve said many times, they’re trying to rebuild inventories and also at the same time, serve a very strong basic demand that’s driving demand in Ocean today. We believe there’s actually unmet demand out there, and that’s why the strength of the freight market persists. But it’s also fair to say that none of us have been in a situation that we are kind of moving out of the pandemic before. So it’s – we can only really guide for where we – for the time period where we feel we have good visibility through our own bookings, through the purchase orders that we manage on behalf of our customers in supply chain management and so on. And it looks like a really, really strong autumn in global logistics. And with that, Vincent?
Vincent Clerc: Yes, thank you. On the top 200, there is a little bit of seasonality in that Q2 will always be a bit the lull between the strength prior to Chinese New Year that works itself through the supply chain during Q1 and the peak that we see in Q3 and through Q4. So I think that for us, this is not really a cause for concern. We haven’t lost any business and continue to have a strong pipeline of business that we’re bringing online. There is clearly also in the – as you point out, in the annualization when we do it year-on-year because of the baseline of last year Q2, the numbers look a bit stronger for what – than the real underlying, if you will, but not something that leads us to have concern with respect to the quarter-on-quarter numbers.
Dan Togo: And maybe, Vincent, a split on – how it’s split on managed, fulfilled and transported?
Vincent Clerc: Yes. So this is not something that we disclose. But I can only say that these customers are heavier in the upper part of – so on managed by and fulfilled by, this is where they are actually heaviest in terms of share of the total, but these are not numbers that we disclose.
Dan Togo: Okay. Then maybe just a follow-up to Soren. As you mentioned, you’ve been through contract negotiations and more or less everything has been – have now had effect. Are there still contracts that you negotiated in Q4 last year that you will renegotiate, of course, coming here in the floor that needs to be lifted to this elevated level?
Soren Skou: Well, I mean, yes, a new contracting season – negotiation season will start in – towards the end of the year. As you know, particularly in Asia, Europe, a lot of the contracts are on a calendar year basis. And obviously, given the data we have provided today where we said after the first quarter, our contract portfolio had been renewed or what had been renewed was with a $500 increase. And now we are saying it’s an $800 increase. So I guess the answer to your question is yes.
Dan Togo: Thanks a lot. Understood.
Operator: Thank you. The next question comes from Robert Joynson from Exane BNP Paribas. Please go ahead. Your line is now open.
Robert Joynson: Good morning, gentlemen, and thank you very much for the presentation. Three questions from me, please, if I may. First of all, on the guidance, if I focus on the EBITDA guidance of $18 million to $19.5 billion, even the upper end of that range assumes that EBITDA will remain broadly flat at the Q2 level during Q3 and Q4. But you said today that you expect Q3 earnings to be above the Q2 level, as such the implication would appear to be that profitability will decline in Q4, and that’s even based on the upper end of guidance, let alone at the lower end. So maybe could you just talk us to your thinking around sequential EBITDA going into Q4? The second question on contract rates. It’s maybe a little bit of a follow up to the previous question. But you showed in the presentation today that your exposure to long-term contracts will rise significantly this year, which is obviously good in terms of earnings sustainability going into next year. But when we consider the lag effect in terms of repricing long-term contracts upwards, is it now actually looking quite likely that the average revenue per contracted container will actually be higher in 2022 than in 2021? And the third question, just on unit costs. They were up by 3% in Q2 versus Q1, which was, of course, understandable given the Suez disruption. Is it possible that unit cost could decline once again in Q3, or is that maybe too optimistic given all the supply chain disruptions going on around the world? Thank you.
Soren Skou: Yes. So Rob, in terms of guidance, I mean we do – first of all, we do have better visibility for the third quarter than we have in the fourth quarter for very obvious reasons. And secondly, we do have a traditional seasonality, which means that the third quarter is usually better than the fourth quarter because in the third quarter, we do have the Christmas trade, so to speak, to include. So we have considered these elements in our guidance. And that’s why we are very explicit in saying that we expect a stronger Q3 than Q2. So thereby, we are also implying that the – we expect Q4 will be lower. But obviously, today, here and still in the beginning of August, I mean, especially November and December is still far away. And we have a little less visibility. And then, yes, then I think Vincent will cover your long-term question to the extent it’s possible without guiding on 2022.
Vincent Clerc: Yes. So Rob, on the contract, I think that whether the contract rates will be higher or lower next year will very much depend on the trading environment during the negotiations of those contracts in – during the Q4. The tenders are likely to come out in – or will come out in October and November, and will be negotiated there during the fourth quarter. I think what we need to bear in mind is, given the extreme levels that we see on the short-term rates, the corrections, ones that unmet demand that Soren was talking about goes away at the correction towards a more normal level is likely to be quite rapid. And therefore, whether these contracts will be catching up to the level of the one that have signed lately or not is something that we will really have to see during the fourth quarter. So sorry, it’s a very much it depends answer, but that’s really also the nature of the beast here. As far as the unit cost is concerned, what is really driving a lot of the unit cost increase is the level of congestion that we are seeing right now. So I would say that as long as that congestions and these disruptions, which is certainly still the case today to quite an extent, we will see some costs linked to that. And as it alleviates, a lot of those costs will go away. So today, as you can see, it takes more fleet. Our fleet has grown by 2% from 2019, but our volumes are down 3%, so it basically takes more TEUs to transport and FFE than it did prior. That will go away when the congestion goes away. On the other side, we have seen also asset price inflation in the form of time charter rates, and some of the contracts that we have signed here, they will stay with us for a while. So that will have a longer lag, you could say, on our unit cost than the congestion-related costs.
Robert Joynson: All very clear. Thank you, guys.
Operator: Thank you. Our next question comes from the line of Michael Rasmussen from Danske Bank. Please go ahead. Your line is now open. [Operator Instructions] Okay. We’ll take the next question from Muneeba Kayani from Bank of America. Please go ahead. Your line is now open.
Muneeba Kayani: Good morning. The first question is just thinking about scrapping rates versus the order book currently. How are you – what’s your expectation with the high profitability and lack of supply keep scrapping rates low, similar to what we’ve seen over the last year or so? Or do you think IMO regulations, et cetera, would result in higher scrapping in 2023, 2024? That’s my first question. Secondly, on the two new acquisitions, can you give a sense of what the growth rates were precrisis and kind of what the multiples would be on a, say, 2019 EBITDA? And thirdly, we’re hearing from other companies about rising logistics costs impacting their margins. How should we think about companies’ reshoring or near-shoring supply chains going forward? Thank you.
Soren Skou: So first of all, on scrapping, obviously, every ship that floats right now is employed to meet customer demand. That means scrapping has come to a complete and grinding halt. But of course, every day that passes by, the ships gets one day older and there’s building quite a number of ships up that eventually will be scrapped when, if you will, when they are not needed anymore. So I think we’re just taking a pause, because anything can be chartered out today. But obviously, it doesn’t change the fact that the ships are old and needs to go. And then your last question was around – we’ll get to the Visible, but your last question again was?
Muneeba Kayani: It was that rising logistics costs are impacting your customer margins. And so how should we think about nearshore?
Soren Skou: Look, there’s no doubt that many customers are thinking about how they can make their supply chains more resilient. But most people will think about increasing inventories in their supply chains and having fewer situations with single sourcing or single vendors. We are not seeing any dramatic move to near-shoring, because it was not really distance that was the issue – has been the issue during the pandemic. The transportation networks has broadly, until now, if you will, been able to move all the cargo. And if you have a – if you near shore and you put a factory in Mexico instead of China or you put a factory in Eastern Europe instead of China, that factory can still be hit just as easily in a pandemic scenario as it can if it’s based in China. And then, of course, there’s all the issues around who actually understands how to manufacture nowadays, who has the technology and so on. So we are not seeing any dramatic move to near-shoring as a consequence of this. And then I’ll ask Vincent to cover your question. You asked what was the pre-crisis growth in Visible, if I understood it correctly.
Muneeba Kayani: Exactly.
Soren Skou: I don’t have the exact number here. I just remember it was in double-digit, but I think Steve will get back to you with those numbers as soon as we get them.
Muneeba Kayani: Thank you.
Operator: Thank you. The last question comes from the line of Frans Hoyer from Handelsbanken. Please go ahead. Your line is now open.
Frans Hoyer: Thank you very much. A general question around inventory levels and the visibility and confidence those low inventory levels in key import markets is giving you. Can you talk about the – I would guess that the inventory levels at sea or in the pipeline before they get the volumes get registered as inventory in the data we see from the U.S., for instance. Is that – are those volumes something that could solve the low reported inventories fairly quickly in the not-too-distant future?
Soren Skou: Frans, thanks. First of all, we only really have solid numbers on inventories from the U.S. where you have very good data on inventory to sales ratios and so on. And in that market, the inventory to sales ratios are record low ratio or low, very low. And of course, it will take quite some time to build up that inventory. I don’t believe that the goods that are on the water now is going to get the job done. Frankly, because one thing is, of course, we have very high growth percentages when we compare to the second quarter last year. But actually, if you look at growth over a two-year period, so from 2019 to 2021, then we’re still only averaging 3%, 3.5% of market growth. And in the meantime, of course, consumption in the U.S. has just exploded. So I really don’t think that inventory on the water, so to speak, is going to change the picture in the short-term.
Frans Hoyer: Okay. And then secondly, just a sort of housekeeping question around mass oil trading and the contribution this business made to revenue and EBITDA in the second quarter. If you would share those numbers, please?
Patrick Jany: Yes. As you know, the revenue is included in our others line. It was fairly actually unchanged compared to previous year, so no delta. And on the result impact, as we said, we had actually positive impact last year in Q2, which didn’t obviously reiterate this year. So the difference is quite high, but the actual result of mass oil trading is fairly flat for the quarter in Q2.
Frans Hoyer: Okay. Thanks. Thank you very much.
Soren Skou: Okay. That was the last question. Then let me leave you with a few remarks. So we have, as you all know, record high profits in the second quarter, driven both by an exceptional market condition in Ocean and solid strategic momentum across all of our businesses, executing on creating the synergies that we discussed at our Capital Markets Day, and we are well underway to the best ever result in A.P. Møller - Mærsk in 2021. We have strong progress and momentum on the strategy and transformation. We continue to build a higher-quality Ocean business with differentiated and integrated offerings and a larger portfolio of profitable long-term contracts. We also have continued strong improvements in the Logistics & Services segment with organic revenue growth of 36%, well above our midterm target of 10% per year. We are expanding the logistics capabilities and accelerating our end-to-end service offerings through the acquisition of Visible and B2C this quarter with strong e-commerce capabilities and assuring in on a US10 billion logistics business, which can grow organically at the 10% or $1 billion a year. Also, Terminals 34% revenue growth and a return on invested capital moving within the shouting distance of our target of above 9%. As has been alluded to, we are generating record levels of cash and have a super strong balance sheet, and that enables us to, as Patrick put it, both invest in the business, do acquisitions and continue to share cash with our shareholders in the coming quarters and years. This current exceptionally high level of earnings is setting us up well for the future. So thank you for listening, and we look forward to being back again in November. Thank you.